Operator: Good day ladies and gentlemen, and welcome to the Cabot Corporation Third Quarter 2011 Earnings Conference Call. My name is Jonathan and I am your operator for today. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session after the prepared remarks. (Operator Instructions). As a reminder, this conference call is being recorded for replay purposes. And I would now like to handle the call off to Ms. Erica McLaughlin, Director of Investor Relations. You may proceed ma’am.
Erica McLaughlin: Thank you, Jonathan. Good afternoon. I would like to welcome you to the Cabot Corporation earnings teleconference. Here this afternoon are Patrick Prevost, Cabot’s President and CEO; Eddie Cordeiro, Cabot’s Chief Financial Officer; Dave Miller, General Manager of the Core Segment; Fred von Gottberg, General Manager of our New Business segment; Jim Kelly, Corporate Controller; and Brian Berube, General Counsel. Last night, we released results for our third quarter of fiscal year 2011, copies of which are posted in the Investor Relation section of our website. For those on our mailing list, you received the press release either by e-mail or fax. If you are not on our mailing list and are interested in receiving this information in the future, please contact Investor Relations. The slide deck that accompanies this call is also available in the Investor Relations portion of our website and will be available in conjunction with the replay of the call. I remind you today that our conversation today will include forward-looking statements, which are subject to risks and uncertainties, and Cabot’s actual results may differ materially from those expressed in the forward-looking statements. A list of factors that could affect Cabot’s actual results can be found in the press release we issued last night and issued last night and are discussed more fully in the reports we filed with the Securities and Exchange Commission particularly in our last annual report on Form 10-K. These filings can be found in the Investor Relations portion of our website. I will now turn the call over to Patrick Prevost, who will discuss the key highlights of the company’s performance for the quarter. Eddie Cordeiro will review the business segment and corporate financial details. Following this, Patrick will provide closing comments and open the floor to questions. Patrick?
Patrick Prevost: Thank you Erica, and good afternoon ladies and gentlemen. We’re pleased with our results this quarter as we have a number of records to announce. First of all, we achieved a record of all-segment EBIT of $115 million. Second, we also reported record performance segment profits. And finally, we continued to grow our new business segments with the record sales revenue this quarter. These results are reflection of our continued efforts across all businesses to grow volumes in key markets, introduce new products, and expand margins through value pricing and process improvements. We’ve been working at this since 2008 and are pleased with the progress we’ve made. Our strategic focus on margin improvement continues to be a critical diver of our strong financial performance. During this quarter, we were once again very successful at increasing our profitability by expanding unit margins across the entire portfolio. We continued to implement our value pricing concept across these segments. We focused our efforts on higher margin products and we work closely with our customers to ensure that there is a clear connection between the value provided and the prices they pay. Our innovation culture and technical capabilities allow us to introduce new products on a regular basis and insures that we are meeting the changing needs of our customers. In addition as we have discussed before the contract lag effect that burdened us in the Rubber Blacks business in the past has been essentially eliminated. We are now optimizing our product and customer mix in all of our businesses and have implemented price increases in our core and performance segments. We are all focused on selling the highest value products to our customers including new products with differentiated performance. This is our area of focus across all segments. In addition our energy recovery in yield technology investments are also contributing to our results in the form of lower costs. Our plans to invest $50 million in energy recovery and yield technologies over the next three years will help to continue to drive margin improvement in the future. What is important is that these are margin improvements that are essentially independent of financial product license. On the volume side, numbers have remained solid across all of our key businesses and our capacity utilizations remain at high levels. We saw sequential quarterly increases in volume in the Rubber Blacks business Performance segment and the inkjet colorants business and a welcome improvement in the Specialty Fluids segment. We continue to see strong demand in our end markets. Cabot has technology end market leadership positions across all segments and geographies and is poised to benefit from the macroeconomic trends we outlined that our recent Investor Day event, and those were energy efficiency and sustainability, growth of the middle class in the emerging markets and finally globalization and mobility. We believe the growth projected in our end markets will continue to insure our assets are operating at high utilization rates. Although an essential part of our portfolio, Cabot is not just about Rubber Blacks volumes or about the tire industry. As our growth in the performance segment and new business segment demonstrate, Cabot is also about various other technology applications from toners to adhesives or from LCD screens to batteries. In these diverse markets we are leveraging our material science capability and our chemistry expertise to work closely with leading customers to bring innovative solutions and new products to the table. To remain a supply of choice, we’re dedicated to providing a reliable supply of high quality value added performance materials to our customer around the world, both in the near term and also in the long-term. Our Rubber Blacks and performance segment capacity announcements show up commitment to support the growth of our global customer base, for example, we recently announced the 25% increase of our fumed silica capacity in Barry, Wales which will allow us to meet the growing global demand for silicon which is forecast to grow in the 5% to 10% range over the coming years and this through our long-term partnership without corning. This is the first of several strategic capacity expansion projects which we will begin operating in the coming quarters. They will provide us with the key capability to meet the growing needs of our customers around the globe. In addition we are pleased to announce that we are underway with an expansion of our inkjet colorants capacity at our existing plant in Massachusetts. This $10 million expansion plan includes the doubling of capacity for both our color pigment dispersion and polymer product lines. This expansion will position us well for the growing use of inkjet technology and our materials in office and commercial printing application. Eddie?
Eduardo Cordeiro: Thank you Patrick. As Patrick mentioned, this was our strongest quarter in history on a segment profit basis. Total segment EBIT was $115 million, which was $14 million higher than the last year’s third quarter driven by higher pricing and improved product mix that more than offset increased raw materials costs. Sequentially, segment profit increased by $7 million. The key factors in the increase were higher unit margins and higher volumes. These strong business results generated adjusted EPS of $0.98 and adjusted ROIC of approximately 16%. I will now discuss the details at the business level beginning with the core segment. In the Rubber Blacks business, EBIT increased by $9 million over the third quarter of 2010. The increase is driven principally by higher margins resulting from higher prices, a favorable product mix, and energy center benefits. These positive factors more than offset the impact of higher raw materials cost including a $7 million LIFO charge in the quarter and slightly lower global volumes. As Patrick noted earlier, our manufacturing utilization rates in this business remained high. We expect the first of our announced capacity additions to come online by the end of this calendar year. Although EBIT was flat sequentially, this was a fundamentally stronger quarter than the second fiscal quarter of 2011. This resulted from higher pricing of favorable product mix and 3% higher global volumes driven by growth in emerging markets and Japan. However, the strong margins in volumes were offset by a $4 million unfavorable LIFO comparison, a $3 million sequential reduction in CEC revenue, and a $5 million unfavorable comparison from a onetime benefit recorded in the second quarter. The Supermetals business continues to benefit from our strategy to focus on pricing and higher value products, while deemphasizing volumes. As a result EBIT increased by $5 million compared to the same period last year due to higher prices and improved product mix, which offset lower volumes and higher ore costs. Sequentially, profitability decreased slightly by $1 million, lower volumes and higher ore costs more than offset the favorable margin impact of higher pricing and improved product mix. As Patrick mentioned, we saw a record EBIT in the performance segment in the third quarter. EBIT increased by $7 million in the third quarter when compared to the same quarter last year. The increased resulted from 9% higher volumes in the performance products business, 2% higher volumes in fumed metal oxides and higher unit margins resulting from our efforts to focus on value pricing. These efforts more than offset higher raw materials costs including $3 million unfavorable LIFO charge in the quarter. We are looking forward to the start-up of our new masterbatch capacity in Tianjin, China and the first phase of our new fumed silica capacity in Jiangxi, China, both of which are to be completed later this calendar year. Sequentially, EBIT increased by $5 million primarily from higher volumes. Volumes in the performance products business were 1% higher while volumes in the fumed metal oxides business increased by 8% when compared to the second quarter of fiscal 2011. EBIT in the specialty fluids decreased by $8 million in the third quarter when compared to the third quarter of 2010. The decrease in profitability this quarter is compared to the same quarter last year was due to lower sales in rental revenues as a result of jobs that were shorter in duration. Sequentially, EBIT increased by $2 million principally due to higher rental revenue. Over the past few months, business results have improved and we continue to progress towards historical activity levels. We had recorded revenue of $30 million. We had record revenue of $30 million in the new business segment in the third quarter. Third quarter revenues increased by 20% or $5 million compared to last year and by 11% or $3 million sequentially. The growth in both periods was driven by volume in the inkjet colorants business. This quarter we began $10 million investment to increase our inkjet colorants capacity to meet the expected future demand growth for office and commercial printing applications. We ended the quarter with a cash balance of $344 million notwithstanding a substantial increase in raw materials costs. We absorbed $68 million increase in working capital during the quarter that was primarily caused by the impact of rising carbon black raw materials costs on our inventory values and accounts receivable balances. We recorded a net tax provision of $18 million for the third quarter. This was net of $4 million of discrete tax benefits. Our tax rate on continuing operations was 21% and excluding the discrete tax benefits and the impact of certain items, the quarterly operating tax rate was 24%. During the quarter, we invested $60 million in capital expenditures. This is an increase as compared to the last two quarters as we ramped up our spending on capacity expansions and energy recovery and yield technologies. We expect the run rate of CapEx to increase for the remainder of the year and now anticipate spending approximately $200 million to $225 million for the full fiscal year. And now back to Patrick.
Patrick Prevost: Thank you very much, Eddie. Our strong performance this quarter continues the trend of improvement we have been on for more than two years. I am pleased that we’re successful at executing our margin improvement strategy through value pricing and product portfolio optimization. Our volumes remain solid and then we’re operating at high utilization levels. We have capacity expansions being commissioned over the coming quarters that will help drive our growth initiatives and meet the needs of our customers. We’ll continue to develop technologies and solutions for a wide variety of markets such as mining, electronics, renewable energy, batteries, highly reinforced rubber, silicones and plastics. Many of these projects and new product development efforts will continue to position us as the top tier specialty chemicals company in the future. We remain focused on achieving on the long-term financial targets we announced last quarter which are, adjusted earnings per share of $4.50 in 2014, all of this while sustaining in adjusted return on invested capital in excess of 13%. So with that, thank you very much for joining us today and I will be turning the call back for the Q&A session.
Operator: (Operator Instructions) And our first question today is coming from the line of Laurence Alexander with Jefferies. You may proceed.
Laurence Alexander – Jefferies: Good afternoon.
Erica McLaughlin: Good afternoon, Laurence.
Laurence Alexander – Jefferies: First, could you give a little bit more detail on order trends in the Performance segment particularly whether you saw any sequential deceleration in June and any views on trends in July?
Erica McLaughlin: Okay. So as I mentioned earlier during the call, we’ve seen our business remain quite robust over the last few months. We do however – we have noticed some slowdown, but slowdown in the month of July. That has not created any worry on our side because it matches the seasonal effects we normally see. So in general we feel quite comfortable with volumes and believe that we will see return to the levels we expect over the coming months.
Laurence Alexander – Jefferies: And then if energy prices and feedstock prices were to be stable from here, would you be able to reverse or turn working capital into a source of cash in the back half?
Erica McLaughlin: Let me try to think through this question Laurence, you’re saying that if raw material prices stay flat?
Laurence Alexander – Jefferies: Right.
Erica McLaughlin: And if we continue to -?
Laurence Alexander – Jefferies: Just given normal seasonality in the business and your productivity, would you be – would we reverse some of the working capital build?
Erica McLaughlin: Yeah, so Laurence if we were to see sort of flat volumes and no increase in raw materials prices, we would convert some of those receivables to cash and we’d see some stability in working capital for the next couple of quarters is the way I would think about it.
Laurence Alexander – Jefferies: And finally has there been any shift in regulatory acceptance of aerogels that might lead to an acceleration and growth of that business?
Erica McLaughlin: We are continuing to see aerogel do very well and in that respect, I mean, one of the sectors that we talked about on our Investor Relations Day was the building industry in Europe where the regulatory environment is becoming more restraining with regard to what is allowed to be done in renovation but also in new buildings. So with that background, we’re seeing actually Aerogel becoming a solution in many situations and we’re working with two strategic partners currently to bring products to the market that would allow the building industry to meet these new (inaudible), so I would say the answer to that is yes.
Laurence Alexander – Jefferies: Thank you.
Erica McLaughlin: Thank you.
Operator: Your next is coming from the line of Saul Ludwick with Northcoast Research. You may proceed.
Saul Ludwick – Northcoast Research: Good afternoon everybody and congratulations on a very good performance.
Erica McLaughlin: Thank you Saul.
Saul Ludwick – Northcoast Research: Is any of rubber blocks that you produce in your traditional rubber blocks plants used by your performance or black business and I’m wondering if the strength and volume in your specialty blocks consume some volume that otherwise might have gone to the tire industry or the two totally separate.
Erica McLaughlin: No, Saul, the two are totally separate in the sense that in most cases the equipment that is required on the technology that supplied to make special blocks is very different than the one that makes rubber blocks products so I would say there is no let’s say cannibalization of capacity from one business to the next.
Saul Ludwick – Northcoast Research: Any thoughts on the decline in volume in China, that was sort of particularly surprising, the other volume trends were pretty much in line with expectations.
Erica McLaughlin: Right, so the – in the recent weeks, we have seen some decline in the volumes in China, which we attribute to some of the credit tightening that’s been going on in the country to manage inflation. We’ve also seen some volatility due to supply-demand affects in various markets such as the plastic markets, but what we are seeing ahead is actually a return to the type of growth rate we’ve been experiencing in the last quarter. So at this stage, we believe this was a very short-term effect.
Saul Ludwick – Northcoast Research: Okay. And finally thinking about as we look ahead, you mentioned the seasonality effect in the performance sector where we would expect to see sequentially maybe lower earnings in your fourth quarter than what was achieved in this most recent quarter and that would be normal. What about the other business segments? Is there anything that we should be looking for sequentially as we move from the third to fourth quarter in terms of a nominal seasonal influences, Patrick?
Patrick Prevost: Well we – the businesses that have a strong North American but a special European presence tend to see some slowdown in the fourth fiscal quarter of Cabot and we are expecting some of that as usual. It could be that it’s slightly more pronounced this time around because of the sovereign credit issues that are going on in Europe. But the current order pattern seems to be indicating that things are more in normal ways. And we’re certainly monitoring this very closely.
Saul Ludwick – Northcoast Research: And finally the trends in the margin improvement there is nothing you’d see ahead that’s going to interrupt that pattern?
Erica McLaughlin: We are certainly very driven by our value pricing strategy. And at this stage, we don’t see anything that would get in the way of us.
Saul Ludwick – Northcoast Research: Great, thank you very much.
Erica McLaughlin: Thank you Saul.
Operator: (Operator Instructions). Your next quarter is coming from the line of Mr. John Roberts with Buckingham Research Group. You may proceed, sir.
John Roberts – Buckingham Research Group: Good afternoon.
Erica McLaughlin: Good afternoon, John.
John Roberts – Buckingham Research Group: When I look at the LIFO breakdown in the footnotes and you split it between the cost of goods effect and the liquidation effect, the liquidation effect is in the tantalum business and that’s as you run the inventories down there and just the cost of goods effect is in the carbon black business?
Erica McLaughlin: Right, let me ask one of our experts here to pick that question, Jim?
Patrick Prevost: Hi, John. Yes, the liquidation is in TSM and the COGS effect is actually in both, it’s in the carbon black and the Supermetals business.
John Roberts – Buckingham Research Group: And the liquidation effect has been recurring for some time as you’ve been bringing those inventories down. Do you have an estimate of how much further or how much is there in terms of earnings benefit from bringing those inventories down to when you think the new equilibrium will be?
Erica McLaughlin: So John, I guess, we have been working, as I am sure you are aware for the last few years to generate cash in the business and reduce a substantial amount of inventory. At this point, I am a bit hesitant to try to forecast as to when we would when that would turn over really because it’s competitive information.
John Roberts – Buckingham Research Group: Okay. Thank you. I’ll get back in the queue.
Erica McLaughlin: Thank you.
Operator: Your next question is coming from the line of Christopher Butler with Sidoti & Company. You may proceed.
Christopher Butler – Sidoti & Company: Hi, good afternoon everyone.
Erica McLaughlin: Hi Chris.
Christopher Butler – Sidoti & Company: If we’re looking at the Supermetals business, could you give us an idea of the volumes here for the quarter and how that might compare to say, the last quarter? This is – you have made substantial improvement with the margins in this business over the last year plus, but this is the first time I think in a while that we have seen flat top line year-over-year?
Erica McLaughlin: Right, so Chris, the business has been repositioned over the last few quarters and what we’ve been doing is focus very much so on margins and less so on the volume. And the effort is continuing in that respect and I would say there is nothing here that we consider to be an indication of declining business.
Christopher Butler – Sidoti & Company: And shifting gears to the inkjet which seems to have done pretty good source of strength on the top line. Is this – how much of this is volume oriented versus price increases in this quarter?
Erica McLaughlin: Right, so what we are seeing is continued very positive trend in the use of inkjet office and commercials markets. So if you remember the consumer markets are fairly mature already, but the office and commercial markets are developing very strongly, and what we are seeing here is really those markets taking off. Now in addition to that we also have new printer platforms that are being launched and there is some inventory filling in the supply chain to help with these launches, so we may have seen a slightly stronger growth this quarter than we would have expected but I would say that the underlying growth and the potential for continued growth in Inkjet in support of our business here is there and we are going to be certainly exploiting our very strong technology and 40% market share in this business.
Christopher Butler – Sidoti & Company: I appreciate your time.
Erica McLaughlin: Thank you, Chris.
Operator: (Operator Instructions) And your next question is coming from the line of Jay Harris with Goldsmith & Harris. You may proceed.
Jay Richard Harris – Goldsmith & Harris: Patrick, what are you doing in the Inkjet business that is offsetting the volume growth in terms of operating income?
Patrick Prevost: Hi, Jay I’m not sure maybe I can – I think Fred has got the question, so I’ll like Fred answer.
Erica McLaughlin: So Jay, I presume your question is around that fact that the top line grew very helpfully but the bottom line growth was not as strong as a top line growth, is that correct?
Jay Richard Harris – Goldsmith & Harris: That’s correct, yes.
Erica McLaughlin: Okay. Jay, the actual inkjet bottom line grew very nicely as well in the quarter, but what actually offset that was our continued investment in new opportunities in Superior MicroPowders and use of things like (inaudible) as well as a slight decrease in the EBIT line with aerogel because we have a plant shutdown in the quarter which offset that.
Jay Richard Harris – Goldsmith & Harris: Well, I don’t know how or whether you want to answer this on gross profit basis or on an operating income basis, but are the respective profits not profit margin in inkjet higher or lower than in the other two components of new businesses?
Erica McLaughlin: Jay, I would rather not go into specifics around our margins in the inkjet business when you have the other businesses.
Jay Richard Harris – Goldsmith & Harris: I was only asking on a relative basis, not on an absolute basis. In other words the way you answered my question, you’ve indicated you stepped up development expenditures in Super Powders, micro Super Powders and I was just wondering what the relative profit potential is among three businesses?
Erica McLaughlin: So Jay, this is (inaudible) again. Perhaps the best way to look at it is, in the inkjet business we got very, very strong technology, we delivered solutions to our customers that really help them differentiating the markets and we get paid for that. And perhaps that can give you a sense of the potential there.
Jay Richard Harris – Goldsmith & Harris: Okay. The doubling of – the $10 million, there was some indication on the formal remarks that that would double a component of your inkjet colorant capacity, can you provide little more color?
Erica McLaughlin: So Jay, the announced capacity increases are around two production lines in that inkjet facility, one of them around color pigment dispersion and the other around polymer treated materials. And to go back to Patrick’s comment, this is all reflective of the growing demand of these materials in commercial and office printer platforms. So they support that new market that we are participating in.
Jay Richard Harris – Goldsmith & Harris: Would you share with us what the revenue capacity will be after the – of inkjets after the expansion is completed?
Erica McLaughlin: No, I will not, that’s confidential information.
Jay Richard Harris – Goldsmith & Harris: All right. Then switching back to tantalum, the process of focusing on higher margin businesses, what are the growth rates that we are seeing there? In other words are these also the more rapidly growing segments of the industry?
Erica McLaughlin: Yeah, so Jay I would say that the high-end products that we produced are the ones that have the ability or give our customers the ability to create more miniaturize the capacitors and these miniaturized capacitors go into the very special applications such as tablets or these specialized multifunctional phones out there, and these are growing at a faster rate than the rest of the electronics industry. So we are seeing a lot of opportunities there and we also believe that tantalum to certain degree is not substitutable in some of these applications.
Jay Richard Harris – Goldsmith & Harris: Are going to precision the comment on what percentage of the quarterly revenues are falling in this category of higher margins and what was the year-over-year growth rate looking backwards in that component?
Erica McLaughlin: Unfortunately, Jay, that would be providing more information than we’re comfortable doing in view of the competitive environment.
Jay Richard Harris – Goldsmith & Harris: I understand. Thank you.
Erica McLaughlin: Thank you.
Operator: There is a follow-up question from the line of Saul Ludwig with Northcoast Research. You may proceed, sir.
Saul Ludwig – Northcoast Research: Thank you. A question on the tantalum business, you’re in the process, as Eddie said of working down your – what was it one-time of very large inventory and now working that down, what’s the timeline between you will stop – you will use up that inventory and start consuming at tantalum that you’ll be producing from your own mine and is that transitioned from inventory and house to do inventory that you will be generating from the mine? Does that have a positive or neutral or negative effect on profitability, so a, timing and b, profitability.
Erica McLaughlin: So first of all what we’ve been doing, Saul, is adapting our inventory to our new needs in the sense that business has been somewhat change in nature and as we focus less on volume than our margin, the quantity required have diminished and that has allowed us to diminish the inventory. I think secondly we – although it may have look like we are not buying or we have continued to buy or over time and we are continuing to manage the needs to be able to give to provide assurance of coverage to our customers. Thirdly, we have announced that we will be starting tantalum mining again in Canada and that’s we’re in the process of ramping up up there and will be producing tantalum more again by the end of the calendar year. And the combination of these factors put us in a pretty good position. We believe that of course we are – we’re going to be dealing with tantalum ore pricing – market pricing that has been going up and has affected us, but we’ve been working on margins very aggressively to make sure that we get full value for the business we have. So, it doesn’t really exactly answer to your question, Saul but I think it hopefully gives you enough context.
Saul Ludwig – Northcoast Research: Right. And then finally, is there any, I think, news you can tell us about the CEC?
Erica McLaughlin: I would say with regard to CEC, the news is that we’re on track, so...
Saul Ludwig – Northcoast Research: Okay, great. Thank you very much.
Erica McLaughlin: Thank you.
Operator: Your next question is from the line of John Roberts with Buckingham Research Group. You may proceed.
John Roberts – Buckingham Research Group: The mix effect especially in the core segment, it’s a little hard from the outside to see the strength in the higher margin or higher price products that is generating the favorable mix. Do you have anything like volume growth for the pounds that are above the average price and volume decline for the pounds that are below the average price or something like that? Is there any internal quantification that you use to characterize mix improvement?
Erica McLaughlin: Well, we are certainly on top of the various product categories and the various margins we achieved. So, we have full visibility on that. I would say that because it is sensitive information from a competitive point of view, we wouldn’t be comfortable releasing that information.
John Roberts – Buckingham Research Group: Secondly, in the Specialty Fluids segment is there a booking rate or anything that you can provide that has a kind of go forward look to it?
Erica McLaughlin: We – John, one of the frustrations of the Specialty Fluids business is actually the difficulty we have forecasting because the complexity of the various drilling and completion projects that our customers are dealing with makes for very volatile timing. And although we are on top of every opportunity, the timing of this opportunity is very widely and we have to deal with that, and I think if it is to be there at the right time with the right product and that is where our focus is. And over the last couple of quarters we have seen a decline that we haven’t predicted, but our visibility in terms of the project that are ahead of us give us confidence that we will be moving back to the types of levels of usage and rental that we’ve seen in the past. So that’s a positive – the difficulty of forecasting will remain a problem in this business.
John Roberts – Buckingham Research Group: So just for example, for the current quarter just reported, the 12 million in income for Specialty Fluids back in April when you were reporting the March results, did you have anything like that in mind or it’s even a quarter ahead you don’t have much visibility.
Erica McLaughlin: I would say we have some visibility on months ahead and then we have a range of project that we’re working with our customers on so but the probability in the speed and the timing is quite volatile and we could see shifts that of several months between what we originally thought would be the timing of drilling or completion project and the timing where our product gets put into use.
John Roberts – Buckingham Research Group: Thank you.
Operator: At this time, there are no more questions in queue. I’d like to hand the call back to Mr. Patrick Prevost, President and CEO for closing remarks.
Patrick Prevost: Thank you very much for attending earnings conference today. I believe that the results were certainly very strong this quarter and that we’re continuing on our path to reach our long-term goals that we shared with you at the recent investor day. And I’m looking forward to speaking with you again in about three months. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today’s call. This concludes the presentation. You may now disconnect. Have a good day.